Operator: Welcome to KinderCare’s First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to introduce Olivia Kirrer, Kindercare's VP of Investor Relations. Ms. Kirrer, you may begin your conference.
Olivia Kirrer : Thank you and good evening, everyone. Welcome to KinderCare’s first quarter earnings call. Joining me from the company are our Chief Executive Officer, Paul Thompson, and Chief Financial Officer; Tony Amandi. Following Paul and Tony's comments today, we will have a question and answer session. During this call, we will be discussing non-GAAP financial measures, the most directly comparable GAAP financial measures, and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management's current expectations and beliefs concerning future events impacting the company and involve a number of uncertainties and risks, which are explained in detail in our most recent annual report on Form 10-K and other filings with the SEC. Please refer to these filings for a more detailed discussion of forward-looking statements and the risk and uncertainties of such statements. The actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. All forward-looking statements are made as of today and except as required by law, KinderCare undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future developments, or otherwise. And with that, I'd like to turn the call over to Chief Executive Officer, Paul Thompson.
Paul Thompson : Thank you, Olivia, and we appreciate everyone joining us today. The first quarter's results were in line with our 2025 guidance, highlighted by a 2% increase in revenue and underpinned by growth in both our early childhood education centers and champion sites. Our focus on driving profitability continues to be successful, as adjusted EBITDA came in at $84 million, an increase of 12% year-over-year, and net income increased to $21 million. Given the multiple operational levers we can pull, KinderCare is well-positioned for the remainder of the year. As you all know, the current macro-volatility can impact all businesses and overall consumer spending, but we have advantages over other sectors. To be clear, childcare is an essential life service for working families that consistently ranks as a top household spending category, and that has not changed. I was pleased to see that the importance of childcare to American families was underlined when, on May 2nd, the President delivered a budget outline to Congress containing no mentions of changes to the federal funding level of the Child Care Development Block Grant. I'll talk more about that in a moment, but overall, we continue to see that demand for high-quality care is outpacing supply. This dynamic supports our market-leading position and is durable in a range of economic environments. In Q1, we saw a delay in the time-to-enrollment decision due to consumer hesitancy and uncertainty. We believe this to be the leading driver to a modest 50-basis-point year-over-year decline in same-center occupancy. We highlighted slower enrollment progress to begin 2025 on our last call, so the first quarter was in line with expectations. We continue to monitor price elasticity and affordability as a decision factor for those families touring our facilities. Our data confirms that price has not been a friction point, which we believe supports our view that demand remains real but simply delayed. We would also remind you all that KinderCare has advantages in the diversity of our offerings. We pride ourselves on our ability to offer early childhood education solutions for all families, regardless of economic background. Families value our unmatched flexibility and capability to meet them at work, at their child's school, or in their neighborhood. We had multiple business wins this quarter. Across our ECE brands, we added 10 centers during the first quarter. We expanded our footprint into Idaho through an acquisition made just outside of Boise. We are happy to have the opportunity to build relationships with working families in Idaho and help those families have access to affordable, quality early childhood education they can depend on. Of our new center openings for the quarter, two were Creme schools. The capability to serve those families who are at the premium end of the market and looking for specialized enrichment programs continues to be a strong part of our portfolio and a differentiator for many families. We are excited about two new KinderCare For Employer centers. Our longstanding partnership with Halliburton has expanded to an onsite center, which has become critical as they return to their Houston office earlier this year. Our flexibility isn't only for corporate employers and families. It is also attractive for community partnerships. We opened a new center in Montgomery County, Indiana, a community which had been struggling in recent years with a lack of childcare. In fact, less than 40% of children in the county under the age of five had access to high-quality childcare, which was negatively affecting families and businesses in the community. By bringing together private and philanthropic resources, a number of businesses in the county were able to consolidate funding to build the Montgomery County Early Learning Center. KinderCare is honored to partner with this community as the operator of this exciting new center. The collaboration between businesses in the area to find a solution to benefit all their workers and families is inspiring, and we are looking forward to serving the community of Montgomery County for years to come. Across our B2B platforms and partnerships, our tuition benefit program continues to grow as more and more companies view early childhood education support as a core benefit for their workforce. In Q1, we began partnerships with Dollar General, LG Energy Solutions, and Hand and Stone Massage to provide their employees with our tuition benefit offering in our community-based centers. Our mix of on-site and community-based capabilities are increasingly attractive for employers seeking to offer their employees more than one way to provide a childcare benefit and for families who appreciate the high-quality care and flexibility of KinderCare. Turning to Champions, Kindercare continued executing on our growth strategy by enhancing established relationships and expanding to new districts. In Q1, Champions added 19 new sites, including sites within 10 new districts. This brings our total Champion sites to 1,038 as of March 29. Overall, our growth pipeline continued to perform well during the first three months of the year. In Q1, we acquired five centers, and we expect additional opportunities for acquisitions to continue as the year progresses. We believe KinderCare’s quality, scale, and brand recognition make us an acquirer of choice within the market. Every day, we have conversations with smaller operators who are looking to monetize an exit or perhaps simply ready to move on to their next chapter. Many reach out to us proactively because KinderCare is their first choice to carry on their legacy. They recognize us as a provider that will continue a high level of care for their community and one that is experienced at creating a smooth transition for teachers, staff, and families. We remain encouraged on the organic growth of our portfolio as we see additional opportunities for occupancy improvement in our lower-performing centers. We always put a special emphasis on improving lower-performing centers, giving the high ceiling of potential and the overall positive impact it can have for our business. To address challenges in these centers, we are combining an intensified focus on family and teacher engagement, additional training with center staff, implementing best practices from our higher-performing centers, and leveraging dedicated resources where they are needed to achieve better results. As we mentioned on our call in March, we've seen solid improvement in occupancy amongst our lowest quintile centers. There is still work to do, and we expect this strategy to be a continuous process that will create additional upside in periods of normalized occupancy growth. We also focus on operational efficiency and continue to drive strong top-line margin by maintaining a healthy spread between wage and tuition increases. We take a measured and strategic approach to ensure we provide attractive pay and benefits for our career professionals while balancing the cost of care for families. The ability for us to consistently achieve that spread without compromising the quality of care we provide has been a driving factor in our long-term profitability improvements. Our disciplined cost management continues to yield results, with G&A expenses once again down as a percentage of revenue. Illustrating our operating leverage at scale. We believe that successful integration of Creme into our same center portfolio and the enrollment upside that exists with this brand will only further accelerate the margin expansion opportunity we have in front of us. Operational excellence is just one of the pillars which support our profitability. Our other pillars, educational excellence, people, and health and safety, are just as critical to our success. Starting with educational excellence, we're committed to delivering the best possible early childhood education to children in our care. We do this through proprietary, differentiated curriculum, our commitment to third-party accreditation, and our use of research-based assessment tools. Nearly 90% of our programs are nationally accredited, providing third-party validation that we're delivering the best quality educational experiences to children in our programs. Additionally, regular assessments have shown that children enrolled in KinderCare programs outperform their peers, and furthermore, the longer they remain enrolled, the better their learning outcomes. Our people are the foundation of our continued success, and we're proud of our strong culture. We've partnered with Gallup since 2012 to measure, improve, and sustain a high level of engagement across our employees and families. I'm proud to share that KinderCare has once again won Gallup's Exceptional Workplace Award, which makes this the ninth consecutive year we have received this distinction. No other early childhood education provider has come close to achieving such lasting acknowledgment of our culture, and we're extremely proud to have once again earned this recognition. Health and safety is our fourth pillar, and we employ robust protocols and practices that support the overall well-being of our employees and the children in our care. Our commitment to this belief is resolute and unwavering. When issues arise, we quickly assess the situation, initiate transparency with parents and local regulators, self-report even minor infractions to licensing bodies, and take immediate corrective actions as warranted. Over the past quarter, we have fielded a number of questions on potential impacts of federal funding changes or efficiency efforts by the current administration on our business. First, I'll point you to Page 11 in this quarter's supplemental deck posted to our IR website, which provides an outline of findings from a report conducted by Capstone, a public policy advisory firm. The report contains a background on early childhood education funding by the federal government, the mechanisms of the funding, and how subsidy dollars for early childhood education work their way from Congress to families. We anticipate the congressional budget to be approved in the back half of this year, and believe there is broad support across both sides of the aisle to continue funding this critical need for American families and children. According to Capstone, government efficiency efforts have been primarily directed toward administrative staff reductions at health and human services, which we do not see as having an impact on block grant funding. KinderCare has a strong network of support at the state level, where approvals and disbursements are decided. This increases the overall effectiveness of the subsidy process, which aligns with the current administration's goal for efficiency. Our expansive ability to help families access subsidy funding remains a strategic advantage for KinderCare, and one that is increasingly important during uncertain times. As we look forward to the remainder of 2025 and beyond, we believe the fundamentals underpinning our business are unchanged and remain confident in our long-term growth algorithm for the years ahead. That said, the macroeconomic environment has become more complicated since our Q4 earnings call. Tony will talk more about this shortly. I'll close my remarks by thanking our teachers, directors, and staff for all that you do. You are what makes KinderCare a special place to work. Because of your tireless passion, we have many exciting opportunities to do even more for families, and it energizes me to think about what we will achieve together in the coming quarters and years. With that, I'll turn the call over to Tony to provide more details on the quarter's results.
Tony Amandi : Thanks, Paul. Our first quarter revenue of $668 million grew 2% compared to a year ago, driven by stable tuition growth and an increased number of centers and sites. On a same-center basis, our revenue grew by 1.4%. Same-center occupancy ended the first quarter at 69.1% compared to 69.6% a year ago. The 50-basis point decrease was predominantly driven by lower enrollment at same centers. The most important takeaway on occupancy is that the demand environment remains favorable, but enrollment decisions have been slower to start the year. This was factored into the guidance provided in March, specifically as we assumed occupancy to be relatively flat for the year. Overall, we remain confident that in the long term, our centers will drive 1% to 2% annual occupancy growth. As mentioned earlier, our ability to effectively price in our centers remains a key driver to sustained revenue growth. We typically make our pricing decisions before the start of the calendar year and take great care to ensure that we are managing our tuition in relation to our wage growth percentages. Our internal tools and wage strategy give us visibility into how our labor costs are going to manifest over the next 12 months. We will continue to monitor wages to ensure we are priced appropriately, such that we maintain a healthy margin. Same center revenue increased to $606 million, up from $598 million a year ago, driven by tuition rates. Our B2B portfolio continues to grow with two new centers open during Q1. The story of Montgomery County, which Paul relayed earlier, is a great example of how KinderCare’s flexibility can really help to meet families and communities where they are, especially in that amazing and unique situation. Champion's revenue grew by 7.8% to $53 million versus last year, with 88 net new sites added to the portfolio over the past 12 months. As we have noted before, due to the before-and-after school seasonality, it would be best to view Champion's revenue over a 12-month period. We continue to see growth potential, both organically at existing locations and through expansion into new schools, given there still remains significant opportunity to grow our footprint across America's 64,000 elementary schools. Beyond Same Center, KinderCare’s new center and acquisition pipeline continues to grow. In the first quarter, this year's new and acquired centers contributed $2 million more than in the first quarter of last year, as we added five new centers, five tuck-in acquisitions, and closed two centers. The immediate cash consideration for the acquisitions this quarter totaled $6.1 million and was efficiently funded with self-generated free cash flow of $75 million in Q1. Overall, we continue to build our pipeline of new center openings. The long ramping period gives us incredible foresight into our future openings, and we see a clear path to increasing our pace of NCOs into the mid-20s per year in the coming years, which is more in line with our long-term growth targets. Additionally, we continue to see attractive opportunities for tuck-in acquisitions expect those opportunities to manifest more near-term. Moving to our profitability, KinderCare generated just the EBITDA of $84 million, which represents 12% growth over last year. This strong profitability highlights the power of operating leverage within our model, even in a slower quarter for enrollment. Our adjusted EBITDA margin for the first quarter was 13%, continues to benefit from new center growth and the scale of our G&A expense, which was just 11% of revenue. Income from operations is $49 million for this quarter, up from $34 million in the prior year. Operating margin was up 220 basis points from last year as a result of increased revenue, decreased stock-based comp expense, and continuing scaling of our G&A. As a result of our deleveraging actions post-IPO, our interest expense was reduced to $20 million from $36 million in the first quarter of last year. Adjusted net income for Q1 was $27 million, up from $10 million last year, and adjusted EPS was $0.23, up from $0.11 a year ago. Turning to our balance sheet, we ended the quarter with net debt to adjusted EBITDA of 2.6 times. We are within our target leverage range of 2.5 to 3 times and have ample free cash flow generation in our model to continue to deleverage through growth while simultaneously investing in the business. As we look toward the rest of the year, assuming general macroeconomic conditions for Q1, we remain relatively stable over the next few quarters, we are reaffirming our guidance ranges for 2025, which are $2.75 billion to $2.85 billion in revenue, $310 million to $325 million in adjusted EBITDA, and $0.75 to $0.85 in adjusted EPS. There are a few points I would like to make here. When we provided guidance in March, our insights to Q1 results were already factored into our outlook. Since then, there have been additional macro developments when tariffs were announced in April, so it is important to call out that we have virtually no material tariff-related exposure. That said, we will continue to monitor consumer behavior and sentiment as the full ramifications of tariffs and trade deals filter through the economy. Just like other industries, we are not immune to consumer choices. However, we believe that due to the diversity and flexibility of our portfolio and the critical need we feel for families, that we are in a much better position than most. Our optimism comes from having visibility into multiple inputs. We have already talked about how we can forecast wage, which informed our pricing decisions for 2025. As of now, we see steady hiring trends and an ability to increase pricing in selected markets. We also feel good about our ability to maintain a healthy spread between wages and pricing. We carry this discipline down to the income statement towards driving operating leverage and profitability to create value for all our stakeholders. B2B and Champions continue to be strong, and based on what we have in the pipeline, we see a clear path for additional contribution beyond this year. The new center openings continue progressing as planned, and looking at the pacing of tech and acquisitions, which are part of our normal course of business, we are on track to hit our targets this year. With that, I will turn the call back to the operator to take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question is from Toni Kaplan from Morgan Stanley. Please go ahead.
Toni Kaplan : Thanks so much. Not sure if you have super visibility into this, but just given the trends of delayed enrollment start dates, and that is something that we have heard across other companies as well. But do you know what parents are doing with their kids as the alternative to enrolling in the centers, sort of starting sooner? Like what are they doing over the summer, assuming they are enrolling for August or September?
Paul Thompson : Well, Tony, I would begin by talking about January 10, as we said, to be a high infant enrollment time period. So one of the situations you might be experiencing there is the single parent or both parents are taking longer time off with their employer, and thereby delaying the time that they are enrolling, not enrolling at six weeks, but perchance when the child is a little bit older, or they have some accommodations that they are willing to continue to use until they go into full-time enrollment. So that is what we mean when we have seen the delayed enrollment speaks more towards the younger age groups. And that is why we are still encouraged with what we are seeing. We still see a high level of inquiries, a high level of tours. We mentioned in our talking points that the pricing continues to play out well for us, and then our retention numbers are trending well also. So those are all instances that point to us this is more temporary in nature. And then for our summer enrollment, we see a different experience for that as people are looking to solve. They might have older siblings that are coming out of an elementary school, and then they might be enrolled in our school-age programs or summer camps as well.
Toni Kaplan : Great. And then as a follow-up, I wanted to ask about the Champions business and, the sort of cyclicality to that. Would a parent maybe pull back on sort of spending on after-school activities in a more uncertain environment? How is that? How have you experienced that business during times of maybe economic weakness? Thanks.
Paul Thompson : The weekly spend tuition per week for the Champions before and after-school program is significantly less than you see in early childhood education. So typically that parent who has to go to work before the school day begins and stay longer than the typical school day ends, it's a great solution for them to keep their child in a safe environment and also to make sure that the child's completing their homework and not having to do that when they come home. So typically Champions continue to be resilient even in a time when you might see parents choosing to be more selective about their disposable income and things that they're doing. Super.
Toni Kaplan : Super. Thank you.
Operator: Your next question is from Andrew Steinerman from JPMorgan. Please go ahead.
Andrew Steinerman : Hi. It's Andrew. When looking at the 25 algo on slide 10, I see you're anticipating relatively flat occupancy. My question is about your medium-term algo. Are you still anticipating that occupancy on average could grow 1% to 2% a year? And where would that take the occupancy rate over time? And my second question is how much revenue from the first quarter revenues that were just reported came from M&A done in the last 12 months?
Paul Thompson : Very good. Andrew, we definitely still feel very confident in our medium-term, long-term growth algorithm that we will see occupancy growth of 1% to 2% as we continue to move into 2026 and beyond. We do also expect, then, that our occupancy itself will grow 1 to 2 percentage points. And we also expect that that's across all five quintiles, that opportunity for us remains. And we feel good about things that we're seeing and tools that we continue to roll out to our 1,500 centers across the U.S. And then I'll have Tony speak specifically to the last question.
Tony Amandi : Acquisition revenue for our tuck-ins was $5.5 million for the trailing 12 months here at the end of this quarter. And it was $4.8 for the trailing 12 months for the year before.
Andrew Steinerman : Thank you very much.
Tony Amandi : Of course.
Operator: Your next question is from Manav Patnaik from Barclays. Please go ahead.
Ronan Kennedy : Hi, how are you? This is Ronan Kennedy on for Manav. Thank you for taking my question. Can you talk about what the guidance contemplates with varying demand levels or macro uncertainty or lack thereof? And if you've seen this dynamic of persistent real demand with delays in occupancy or enrollment decisions in the past and how you would expect that to play out for the remainder of the year?
Paul Thompson : Yeah, Ronan, from the perspective that we have, we still feel confident to the full year of guidance that we provided to you all for occupancy. We also are really encouraged about our ability to manage expenses, regardless of what happens with macroeconomic conditions, so that we continue to deliver sustainable, profitable growth for the year. And then as far as experiences, within months and within quarters, we will see differences of enrollment. But the important thing for you to know, we continue to trend week-on-week enrollment growth up through May, which is our highest enrollment weeks. And so we're continuing to see week-on-week growth, albeit just a, as we mentioned before, from a delay and from the occurrence that we were seeing in the first quarter. But still feel good to the full year and our ability to pull on multiple levers on both top-line revenue growth as well as operational levels to improve our profitability.
Ronan Kennedy : Thank you. And a quick follow-up on that, if I may. So it sounds like, obviously the environment has gotten more complex with regards to the uncertainty and otherwise. The growth outgo assumptions, there is optionality within that to hit at different levels of contributions, whether it be the NCOs or B2B Champions acquisitions. Is there anything to be mindful of potential changes in what the guidance contemplates since the macro has gotten more complex and can continue to evolve?
Paul Thompson : The macro conditions are more specific to enrollment and occupancy. We've mentioned that on tuition, we feel very confident in what we've incorporated for guidance on 2025. For the B2B businesses of both our KinderCare For Employers and Champions, they are trending nicely against our expectations. Our NCOs continue to ramp here in 2025 and we believe are on course with the enrollment we're seeing for them. So not impacted as much with the macro situation that we're experiencing. And then we've talked about acquisitions continue to trend well. So it is more specific to occupancy with the macro conditions and that's why we love the flexibility we have to grow our top line through those different levers.
Ronan Kennedy : Thank you very much. Appreciate it.
Operator: Your next question is from Jeff Meuler from Baird. Please go ahead.
Jeff Meuler: Yeah, thank you. I just want to understand what you're seeing on kind of the characterization around the delayed enrollment and the answer to Tony's question. So are you seeing more children be enrolled for the first time at whatever it is, 8, 10, 12 weeks instead of 6? Like is the data showing that or is it I guess maybe just any sort of support for the delayed enrollment characterization instead of potentially lost?
Paul Thompson : Yeah, Jeff. It's more that we are seeing more inquiries, more tours come in at summer times. So we're seeing still strong levels of that and more touch points with the families. So we're seeing a lot more communication happen with the families to get them to enrollments. And so not as much tracking as far as the age level they're coming in, but more so how many communications are happening with them. And we're seeing that mean a delay in their decision making.
Jeff Meuler: Okay. And then can you help me understand what you're assuming in the ‘25 guidance if you're assuming like an improved conversion rate off of those inquiries relative to like the Q1 run rate? And I ask because you have occupancy down, you're guiding to it flat. And I would think the more periods you have where the intake is kind of weak and there's kind of the natural turn happening that it would kind of like the magnitude of the occupancy headwind would actually build if that's the case. Hopefully that's clear.
Paul Thompson : Yes. So what we're seeing currently is still nice levels of retention of our current families that we have with us through the first quarter and what we've seen so far. We are seeing that slower decision making we just talked about. But as we get a purview into early peaks towards the back half of the year, and based on what we're seeing there, and based on our historical trends, that's what's giving us the ability to kind of give the guide to the flattest for the year, despite the start of the first quarter.
Jeff Meuler: So are you assuming that, I guess, conversion rates will remain where they were if you kind of seasonally adjust them? Or are you assuming some sort of improvement?
Paul Thompson : It would assume some slight improvement, as well as utilizing kind of the inquiry levels we have, but also utilizes what we are seeing on retention as well to date, and utilizing that as a benefit as well.
Jeff Meuler: Got it. Thank you.
Operator: Your next question is from George Tong from Goldman Sachs. Please go ahead.
George Tong: Hi, thanks. Good afternoon. Going back to the topic of delayed enrollment decisions, do you have a sense for how long these delays typically are? In other words, would you expect to see a catch up in enrollments in a quarter or two?
Paul Thompson : Hard to say, George. But what we have dug in deeper with our teams of how do you elevate the conversations that we're having with parents? How do you improve the value proposition that you're sharing with parents? And then how do you activate them to make the decision because of the occupancy that's existing in those centers? So what we are focused on is giving more specific guidance to our center directors based on the quintiles of the occupancy that they have so that we can drive stronger behaviors. And so there's certain digital tools that we've mentioned to you in previous phone calls that continue to give us confidence of the coaching that we're giving to our center directors and how they're thinking about the interactions with those parents so it ultimately does drive to the decisions being made here in the second quarter and third quarter leading into back to school.
George Tong: Got it. That's helpful. And then you mentioned that pricing has not been a friction point with customers. To what extent do you have room to raise prices beyond the low end of the 3% to 5% range?
Paul Thompson : It is something that we'll evaluate, George. But you know we start our price increases at January 1st for age ups and for new student enrollment. And the reason for that is then it allows far less price increase conversations for a center director with our existing parents, which can be a distraction or challenging for the center director and parents. So we'll always take a look that if we think it's necessary to do an in-year price increase. But right now with the way we're trending and things that we're seeing with our ability to maintain cost controls, labor specifically, we're still on track that our next price increase to the system will be in January 1st of 2026, even though new families and age ups will be experiencing that all through the balance of this year.
George Tong: Got it. Very helpful. Thank you.
Operator: Your next question is from Jeff Silber from BMO Capital Markets. Please go ahead.
Jeff Silber : Thanks so much. Is it possible to go back and just unpack your revenue growth for the first quarter by the different components of the growth algorithm that you show from a long-term basis? I'm just curious what they were in the first quarter.
Tony Amandi : Yeah, sure. The occupancy was down 50 basis points. We discussed that. Tuition was about 2.5 for the period. B2B grew about a 0.5. Our NCOs were about a 0.5, about 50 basis points. M&A, about 100 basis points. And then our closures had offsetting 100 basis points on them as well.
Jeff Silber : Okay, great. That's helpful. And then if we switch the discussion to M&A, I'm just curious, given the macro environment and some of the uncertainty out there, are you seeing more potential sellers coming to market? And also, what kind of prices are you paying have multiples changed at all this year?
Tony Amandi : Same as we've seen over the last couple quarters, Jeff. So the market's been about the same, which is very robust, and still seeing those multiples being anywhere from 3 to 5 on average. So we definitely see some below that at times where we're getting it for virtually free because the real estate's carrying the deal. We've had a couple that have kind of got up into the sixes now that we believe were really good deals and still really good value for us.
Jeff Silber : All right. Appreciate the call. Thanks so much.
Operator: Your next question is from Josh Chan from UBS. Please go ahead.
Josh Chan : Hi. Good afternoon. Thanks for taking my questions. On the enrollment slowness, I guess, are you seeing any differences between children that are coming in through subsidies versus the private page? I'm wondering if there's a discrepancy there.
Paul Thompson : For our subsidy families, once they receive approval to be covered by the block grant, then it's a family choice. And they're looking for a high-quality provider. So the hesitation for a subsidy family is less impacted once they've been approved for receiving the voucher and taking that to the provider in their community. So it is much more where a private pay family, bearing the full cost of the tuition, is thinking about their personal situation and how they might cover the care for their child before they do their first enrollment.
Josh Chan : That makes a lot of sense. Thanks for that color. And then maybe a question on the pricing. I think you mentioned 2.5 points this quarter. I think the guidance is around 3. So do you expect some sort of acceleration in pricing through the year? Or I guess is that 2.5 kind of close enough to 3 in your mind?
Tony Amandi : We'll see acceleration from the 2.5. So we're guiding the 3 to 5 for the year. And so where we see some of those age-ups and new students coming on board, and we see those obviously in the system from what Paul talked about. We'll see those pull that number up, and that gives us the ability to guide to the 3 to 5 and the low end of that 3 to 5. So it'll be up a little bit.
Josh Chan : Great. That's great to hear. Thanks for the time, and good luck.
Operator: [Operator Instructions].
Paul Thompson: All right. Well, thank you all for joining us today. We hope to have an opportunity to speak with many of you in person at these upcoming conferences or otherwise in partnership with your bank's corporate access teams. KinderCare’s business performed well in the first quarter despite the macro conditions around us. Our team is focused on driving continued profitability growth for all stakeholders as we move through the second quarter. We look forward to connecting you with everyone again soon. Thank you all.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.